Operator: Good day ladies and gentlemen and welcome to the fourth quarter 2007 CIT group earnings conference call. My name is Nicole and I will be your coordinator for today. At this time all participants are in a listen only mode. We will be facilitating a question and answer session towards the end of this conference. (Operator Instructions) I would now like to turn the call to Mr. Ken Brause, executive vice president in investor relations. Please proceed sir.
Ken: Thank you Nicole and good morning. Welcome to the CIT fourth quarter earnings call. Let me review a few items today before we get started. First following our formal remarks we’ll have a Q&A session. In an effort to be efficient and make sure that we get to everyone please limit yourself to one question. If you have a second question please return to the queue and we’ll come back to you as time permits. Second, elements of this call are forward-looking in nature and relate only to the time and date of this call. We disclaim any duty to update these statements based on new information future events or otherwise. For information about risks factors relating to the business please refer to our SEC report. Any references to certain non-GAAP financial measures are meant to provide meaningful insight and are reconciled with GAAP and the financial table accompanying the press release. For more information on CIT please visit the investor relations section of our website at www.cit.com. With that it is my pleasure to hand the call over to Jeff Peek our chairman and CEO.
Jeffrey M. Peek : Thanks very much Ken. Good morning everybody and welcome to earnings call. We appreciate your interest and attention on a busy day. We do have a significant amount of material to cover with you during this call and we will try to be as efficient as we can so that we can leave as much time as possible for your questions at the end. First off I am obviously disappointed that we reported another loss this quarter. But I think the actions we took were the rights ones under the circumstances and will help to fortify balance sheets and give you confidence in our stated book value. Our board of directors and our management team our focused on what is doing right for the CIT franchise and its stakeholders for both the near term and the long term. Further I believe our decision to maintain our quarterly dividend rate is another indication of our confidence in the CIT franchise and our future. During the fourth quarter and actually for much of the second half of 2007 we focused on two distinct yet parallel courses of action. Addressing the challenge of the current environment namely home lending and funding ourselves while protecting our core commercial franchise to insure its health and vitality. Corporate finance, transportation, trade and vendor all continue to serve customers and generate profit at respectable returns. In fact, while there are a lot of moving parts in this quarter we calculate that our earnings for these core commercial finance business segments were around $225 million after tax on a run rate basis this quarter. Additionally, let me talk a little bit about the objectives that we’ve focused on relentlessly over this quarter. First has been capital discipline and pro-active portfolio management as evidenced by the sale of our construction finance business in the second quarter which we think was particularly well timed, the sale of our systems leasing portfolio in the US, expansion of our vendor franchise through acquisition both in the US and Europe and acceleration of income through the acquisition of Edgeview Partners this summer. Second goal has been a strong balance sheet and solid debt rating as we capitalize on the diversity and the quality of our assets and migrated our funding model to benefit from the lower cost of funds available in asset backed markets. We demonstrated our commitment to maintaining strong credit ratings by taking swift action to raise capital following the home lending charges in the third quarter. All our ratings have been affirmed although I must say we were disappointed in Moody’s change of outlook earlier this week. Third, has been to continue building our asset management capabilities. We did successfully execute our first COO and our IPO of Care Investment Trust our healthcare REIT. More recently we successfully launched our first junior capital fund earlier this month, which is expected to approach 1 billion dollars in total funding. Our fourth goal is expanding our global footprint. We did achieve our objective of having 25% of CIT’s assets outside of the United States by year end. In fact about 1/3 of our commercial finance exposure is now non-US. We opened regional service centers in both Dublin and Shanghai for our global platform in vendor finance. We think these actions reflect our commitment to taking our expertise in middle market finance around the world. Now let me just briefly review the solid progress that was made in our commercial finance business segment in the fourth quarter. I will try to give you an update on what’s happening in each of those markets. First, corporate finance; while there continue to be market dislocations we did originate over $4 billion in new business financing this quarter. Actually about half a billion dollars more than we were able to originate in the third quarter. Pricing in the middle market has adjusted to the current reality so new assets are certainly coming in at good yield. We continue to improve our position in the [inaudible] tables as we increase our market share. Further M&A and advisory activity continues particularly through our new acquisition Edgeview Partners. We closed 10 M&A deals in the fourth quarter and have a robust pipeline into 2008. In this regard I would like to highlight a deal we did for Sprint industrial this quarter. The first in which we had a self sided advisory mandate and also underwrote and syndicated a buy side financing for the buyer. This transaction is a great example for the opportunity for synergy we saw when we acquired Edgeview. Now transportation finance; here demand for aircrafts remain strong. Credit was very good and we have the right plane at the right time. For instance, this quarter we bought 15 Boeing 737’s from an operator and leased them all immediately. Our new order book is firm and new deliveries are leased out into 2010 for us. An unprecedented event. And rail utilization stands at about 95% which is quite good by historic standards. Now let’s talk about trade finance. In trade finance volumes grew, profits grew and the ROE for the quarter was almost 19% despite a lackluster holiday season. Here our credit metrics remain quite good and the weakening economy allows us to put surcharges on the credit of certain retailers. Finally vendor finance; we sold our interest in the US based Del Financial Services joint venture and are focusing our efforts on originating high margin programs. You may recall that in November we announced the roll out of the Microsoft Partnership to the US and Canada in addition to the seven other countries in Europe and Asia where we were already active. I think as you know we have two portfolio integrations underway and these are labor intensive and time consuming and technology oriented. As a result we’ve seen some dilution in our results this year that will likely continue into the early part of 2008. In particular the integration is taking longer than anticipated which has resulted in excess cost and some temporary deterioration in credit metrics. Now I would like to turn it over to Joe to provide some additional color on financial results as well as home lending and funding.
Joseph M. Leone : Thank you Jeff. Good morning everyone. As we previewed last week and detailed some more in the release this morning a few items principally consumer related overshadowed the solid results from our commercial franchises Jeff just spoke about. I wanted to give you a little more color on those items and then get into home lending and funding as Jeff described and then finally run through the quarter’s key operating revenue trends with some commentary on 2008. Several significant items combined to reduce reported earnings as you read. First the goodwill impairment. We tested the goodwill associated with all of our segments at year end. Given the change in the student lending landscape with declining peer evaluations plus higher funding costs for this asset class. As a matter of fact ABS spreads are higher by about 50 basis points today than they were when we ended the second quarter into the third quarter. As a result of these two factors our estimates of fair value no longer supported the goodwill and intangibles for the student lending bill. So we took a non-cash charge for the write down. It had no impact on our tangible book or capital metric but it did reduce income by almost the full amount as there was very little tax benefit booked on this charge. We also increased loss reserves about $300 million. $250 million of which specifically relates to home lending. The balance relates to reserve building for other unsecured consumer credit and to a lesser extent the commercial loan book. Home lending had charges of $42 million on the held-for-sale portfolio as we completed the sale of certain lower performing loans and we marked the market the remaining manufactured housing receivables we have not sold. The two vendor financed sales that Jeff spoke about; a couple of comments. We did sell our 30% interest in Dell Financial Services to Dell and that generated about a $250 million gain. I am quite proud of the relationship and success we’ve had with Dell and our partnership with them and while we will no longer have our share of profits from the US joint venture going forward we will retain portfolio margin on the US loans we purchased and have purchased and the revenue from financing Dell products around the globe. Generally speaking each of those items; the joint venture, the margin from the US book and the international Dell buy in contributed about a 30 to the overall income stream from the Dell relationship. Jeff mentioned we sold our system leasing business. One reason why it was a good business that had $700 million of assets but it was difficult to grow. It was a direct calling leasing business and it was channel conflicts with some of our vendor programs that other business calling efforts we have around the company. So we thought that was a good strategic move. Finally the quarter’s tax line benefited from about $27 million of adjustments to improve tax liability in foreign jurisdictions. As we refined completed our review of international operations and profitability and that confirms a permanent mix in the income across countries. There were other ins-and-outs and gives-and-takes to the quarter which combined to reduce EPS about $0.05. Most significant of which was the write off of accrued expenses from our decision not to pursue or form a separate public air leasing company. The net impact of the above items I described reduced earnings per share about $1.80 a share. Some detail on home lending and I will start with Q4 which were impacted by the charges I just discussed. In this business we had approximately $10 million of securitization impairment in the quarter. The related securitization retained interest is now down to about $30 million and relates to loans originated in 2002 and prior. Excluding these items the segment was essentially breakeven and that was a disappointment. That is down about $40 million from the positive spread we had been running. So what changed? We did allocate the more expensive debt that we did in Q3 and Q4 to home lending. $25 million of the decrease was due to these higher funding costs principally from the $5 billion securitization in the third quarter and the $690 million of convertible offering we did in the fourth quarter. We applied those deals to the home lending business one, because it was a match funding on the securitization and two, the convertible offering, the need was caused by home lending so we applied these higher cost of funds into that segment. We also have higher non-accruals than we expected when we set out, discontinuing this business in July and collection costs are running higher and we think we need to make investments in the collection center to minimize loss. Moving on to portfolio performance, we were disappointed that credit metrics deteriorated from September 30th to a greater extent than we had modeled. The increases were more severe in specific geographies and you’ve heard this from others; California and Florida to name two and certain products, seconds, HELOCs and stated income. Gross losses in the quarter about $115 million with $6 million going through the net charge off line and $100 plus being absorbed by our loan-by-loan allocation of the September 30th valuation discounts we had recorded. About half of the sequential increase in gross losses reflected higher accelerated reserves on 180 days plus past due accounts, a practice we adopted or modified or increased valuations in Q4 and we will continue that. Total 60 day plus has decreased 130 from September but that decrease included the benefit of the sale of the lower performing loans in October so actually apples-to-apples the delinquency went up. Given the increase delinquencies we felt loan loss reserve building was warranted so let me spend a minute or so on our reserving process. As you know, we are required to establish reserves for loans on our balance sheet held for investment, the losses inherent in the portfolio. And we look at losses from delinquent or troubled accounts and take about a 12 month forward view. How did we determine the $250 million? We do a lot of analysis. We analyze portfolio performance based upon trends and delinquency and roll rates, we apply severity, plus current market data estimates to determine what we feel the expected loss is and we run various scenarios applying sensitivities to the portfolio. Obviously, we will go through this process every quarter on this portfolio adjusting the reserve as necessary to cover loss expectations. What changes did we see this quarter? Roll rates and the aging of delinquent receivables increased notably in October and November and that drove projected frequency higher. Roll rates did stabilize in December and January and I hope that’s a trend. Some of the increase is probably seasonal in October and November as we’ve seen in prior years but, that is hard to dimension given the changing dynamics in the market. On the positive side, we have not seen a significant increase in loss severities. Having said that, we are not counting on that continuing. Where it was the softest, I mentioned before in California and Florida, delinquencies are about 15% in those states. That is about 5 times historic norms and versus 8% in the rest of the US portfolio for us. Delinquency on stated income, which is about 40% of our portfolio and non-owner occupied homes which is about 10% are also increasing faster. Arms clearly underperforming fixed rate. Where are we in terms of portfolio size? The health of our investor portfolio is now $9.2 billion in unpaid principal balance and we’re carrying that at about 8.8. Adding the reserve we established this quarter the combined reserve in discount against the remaining portfolio is about 8% and that is after having taking charges in Q2 and Q3. Moving to the held-for-sale portfolio we have only manufactured housing loans remaining, just about $500 million of unpaid principal balance and that’s being carried about $145 million with 30% discount. Actually, the credit metrics in that portfolio were fairly stable in Q3 into Q4 with a delinquency of about 8%. As we look into 08 we think home lending will continue to have a breakeven to slightly positive P&L exclusive of credit cards. In terms of credit we expect gross home lending losses to peak during 2008. Based on November roll rates which we used in our reserve analysis, we do expect quarterly provisions into 2008 although they will be significantly lower than the Q4 provision. The home lending will remain a headwind, we are working hard at it and a lot of our effort is focused in the collection area. Moving to funding; I think the company did terrific job of managing through the most volatile market I have seen. All of our businesses are collaborating with our treasury group to tap into available pockets of liquidity, to service our customers and grow the franchise as Jeff described. We have not missed a beat with our customers, we have prioritized capital from existing relationships and we had a very successful new business quarter if you’ve gotten to take a look at it. We had strong originations in our better returning businesses, particularly corporate finance where there continues to be attractive opportunities in the market place. We did end the year very strong from a liquidity aspect; we told you this last week in our release. We have about $15 billion of liquidity, a very robust cash position, $2.2 billion of committed and available asset backed facilities including about $1 billion of new facilities that we created in Q4 and we do have $7.5 billion or so of committed and available unsecured bank loans. Commercial paper outstanding is about $3 billion and at this point in the cycle we think that is about right. The weighted average of maturity in the books still looks good and we did see some spread tightening over the quarter. Today we are issuing at LIBOR plus 30 as opposed to the average for the quarter of LIBOR plus 40. On the term debt side we issued approximately $5.5 billion in securities evenly split unsecured and secured. The average cost of the unsecured issuance was LIBOR plus over 300 with expenses and the average cost of the asset backed deals we did were about CP plus 45 or 50. The unsecured cost did impact the margin and I will cover that in more detail. But that as a frequent issuer we think it was important to be in the market and fund our core business. On the asset backed side we structured or renewed $3.5 billion in facilities across a variety of asset classes and we continue to broaden the asset side as we fund again. We have $2 to $3 billion of incremental facilities we expect to close in Q1 against asset classes we have historically not securitized: rail, air and middle market loans. Our bank is important, our Utah bank is important. We completed the first phase of our transition strategy from funding consumer loans to commercial loans. We have already started originating certain loans in corporate finance and expect to originate well over $100 million in new loans this month in the bank. The deposits are an important part of our going forward funding plan and offer funding at attractive costs, probably 50 basis points attractive over time and more than 200 basis points more attractive today. How do we plan to finance the company over the next 6 months? I have given you a couple of thoughts on that. We have roughly $6 to $8 million of funding needs in the first half of 2008 as we will hold assets flat in the first half. We have $6 billion of term unsecured maturity heavier in Q2 as many of you know and we plan to hold CP flat and we will continue to actively manage the balance sheet, particularly in the first half as I said keeping assets flat. But where will the funding come from? We ended the year with a substantial amount of cash as we pre-funded and we did the vendor sales which closed in December. While we will continue to carry high level of liquidity we will target using some of that cash to meet the first half maturity. Where will the remainder come from? As we look to execute the majority of our 2008 funding will be in the asset backed market given the cost of differentials I just described. We will start by targeting $2 to $3 billion of asset backed paper from our ongoing equipment and student loan program and we will do some additional borrowing against the home lending portfolio. Additionally, I mentioned some new facilities that would total about $3 billion of new asset backed facilities and we’ve already have those queued up in some way shape or form. It is likely to look like $1 billion in middle market loans, a $1 billion in rail and $1 billion in secured and other financing techniques we will use to finance our aerospace fleet. We will also look to sell some planes during the year. Beyond that our funding model does call for us accessing the unsecured market. While we have nothing specific planned for Q1 I would like to do an institution deal of benchmark size and we will continue to target the retail financing market where we have seen increased interest. As we look beyond the first half of the year, as I mentioned before we will look toward additional deposit growth at our Utah bank. So, those are the topical areas. What I would like to talk about is some of the financial plans as we see them in 2008 particularly, on the revenue side. Let me start with net finance revenue. I mentioned and you saw that our margins declined about 29 basis points sequentially. Most of that is due to funding and the details is as follows: 20 basis points of this contraction was home lending related, principally the higher cost stat that I described earlier and increased non-accruals in that book. Six basis points relate to funding in the student lending area, largely spread contractions between CP and LIBOR and the higher conduit cost I had mentioned earlier. And, the balance related to carrying incremental liquidity. We were very liquid during Q4 and we had negative carry on the cash held and we reduced short term debt balances. Moving to other income excluding the noteworthy items we described, other income was about $235 million down from the prior quarter on weak sale of syndication income. But, we did clear a lot of the pipeline in assets held-for-sale. If you look at the numbers we are down from $3.9 billion to less than $2 billion, about a $2 billion decrease. And, we consider that a real success, although there were not a lot of gains in this environment. Fee income was down slightly. Jeff mentioned we have a good pipeline, some of the deals that we had thought we’d booked for Q4 slipped into Q1 and we had some advisory fees that we expected to realize in January. As to the outlook for 08 we expect net financial revenues will be down as funding costs are high. We will somewhat mitigate by the capital reallocation that Jeff described and funding in the secured markets that I just talked about. We are seeing attractive pricing opportunities in our corporate finance business and that has improved significantly since the middle of 2007. We anticipate assets to be flat in the first half of the year with modest growth in the second half and will benefit from the reallocation of capital and commercial assets. On other income we will continue to see weakness in volume based fees, syndication sales, securitization and the like but, we are looking to offset that will servicing fees including restructuring and advisory opportunities. Factoring commissions will increase, Jeff described that and overall we expect flat to modest growth and non-spread. Operating expenses we did take cost cutting actions in 2007 including head count reduction and off shoring and we are going to be more aggressive in 2008 as you saw in our press release today. Specifically we are targeting $100 million of run rate savings and we hope to get a lot of that benefit this year. We announced our step today in our press release. We’ll take a first quarter charge of about $50 million pre tax with an annual savings of over $60 million and we are looking at discretionary spending in all areas of the company for further savings. On the credit side we expect charge offs excluding home lending to increase in 2008 from record low levels this year. For our growth this year we are at about 45 basis points yet, we expect charge offs to remain below or at our average full cycle losses of 70 to 80 basis points. We will see some increase due to lower recoveries in 2008. Overall, when you look at the credit trends in commercial at year end as I did and as we do we were quite happy with the results in commercial at the end of 2007. Credit costs will likely see charge offs as we provision in excess of the current period losses but not at the level we saw in Q4. Finally word on our taxes, our effective tax rate has been noisy reflecting the losses we had in the US business and as we build up the international businesses. Generally speaking we saw progress of increasing proportion of income we generated overseas. We expect the 2008 pro forward rate to be in the area of 27%. That is a bit on 2007 revenue trends and some of my thinking on 2008. With that I will turn it back to Jeff.
Jeffrey M. Peek : Now, let’s take just a couple of minutes here and look ahead and talk about 2008. I think as many of you can understand, the market uncertainties have made this years planning session particularly challenging. In our document we are assuming an economic slow down but not a recession. Aspects variables in our outlook would include very modest GDP growth, further bed cuts, continued tightness in the credit markets, declining home prices and increased consumer bankruptcy. Now, CIT entered 2008 with a strong balance sheet and an improved competitive landscape but certainly there are a number of challenges for us. Our core objectives going into 2008 are the following, in essence what are we really trying to achieve this year? First and foremost we want to continue to strengthen the commercial franchises. We will direct resources to our best performing businesses; we’ll retreat to our core. Pricing and credit discipline are at the core of what we do best and we will remain disciplined on balancing our financial capital with our relationship capital. Second, there will be a strong focus on balance sheet strength. As Joe, said we will build reserves reflective of evolving market conditions. Obviously, we want to maintain strong liquidity and we will further build capital levels to remain above our targets and enable us to take advantage of profitable business opportunities. Third, critical to our success we want to optimize our funding capacity and improve our cost to fund. We have begun using the CIT bank to fund commercial loans. We continue to explore new ways to access attractively priced liabilities including up to $3 billion of new asset backed facilities for commercial loans, rail cars and airplanes as Joe covered in detail. And finally, increasing our operational efficiency across a number of segments. This is one of the critical performance drivers that is squarely in our control. As Joe described, we expect to reduce expenses by $75 million this year, $100 million on an annualized basis. We commenced this action today with a 5% head count reduction. Like 2007 we will continue to have two parallel courses of action and while we seek to maximize the value of the commercial finance franchise we will remain focused on resolving the home lending portfolio. With regards to those assets we will dispose of the remaining manufactured housing assets held-for-sale. We will try to manage down losses on the health investment portfolio and we’ll continue to invest in our servicing center as our first line of defense in optimizing returns from the home lending portfolio. We will also continue to modify the student lending business model to reflect the new market and legislative realities. By that I mean, we’ll continue to de-emphasize consolidation loans and private loans in favor of government guaranteed loans originated in the school channel. As you know, securitization markets are an important source of funding for these assets so we will have to monitor the condition of that market closely. Now, just in closing I would like to focus on how we see the commercial finance business segment evolving over the year. First corporate finance, as we’ve said the middle market loan sector has adjusted in terms of price and structure and deals particularly in the small cap and mid-cap sector are getting done. It takes more effort and it takes more time but they are getting done. In the middle market much of the competition has retreated particularly the non-traditional players we saw being so very, very aggressive over the past two years. We remain focused on lead agency opportunities and have a strong forward pipeline. We will continue to prioritize capital deployment strategically and provide liquidity for those customers with whom we have long and strong relationships. Fee and other income continues to be a growing part of this story particularly through Edgeview. Second, trade finance, a weaker economic environment will give us the opportunity to improve pricing as credit concerns grow. Factoring commission rates should increase in this environment. We will also continue to focus on the expansion of our international business in trade finance, especially in China and Continental Europe out of our German platform. Next, transportation finance, in air in 2008 we will take delivery of 23 new aircraft worth about $1.5 billion dollars all of which we’re proud to say are already placed with operators. Since we decided last year not to proceed with the initial public offering of a second aircraft leasing company, we plan to sell around 25 aircraft early this year and likely more planes later, both as a risk management and an asset pricing move. In rail we do expect some specific areas of construction related softness but, our fleet is quite diverse as to car type and we have minimal renewals and new deliveries scheduled for 2008. And lastly vendor finance in 2008, we will have a financial headwind from the buy out of Dell Financial Services, our 30% equity interest going back to Dell. But this change presents us with opportunity since we no longer have any non-compete restriction with other manufacturers of technology. And we will drive progress integrations here, get Barclays and Citicorp operating smoothly and improving our overall operational efficiency in the vendor finance business. So just to summarize the outlook that Joe and I provided with CIT as a whole, here’s what you should expect. Asset growth will be very modest certainly in the first half of the year. Debt finance revenues should be down slightly with spread compression somewhat mitigated by a change in the asset mix and capital reallocation to our more profitable business. Other income will continue to be soft at least through mid-year as lower sale and syndication revenues are offset by higher advisory fees and factoring commission. Commercial credit costs will rise modestly from current very, very favorable levels. Operating expenses should be down as we continue to drive operational synergies and also reduce head count. Now, I would like to open the call for questions.
Operator: (Operator Instructions) Your first question comes from the line of David Hochstim from Bear Stearns. Please proceed.
David Hochstim – Bear Stearns : I just wonder can you talk some more about what exactly is happening with credit in the vendor business, you know the increase in non-performers? You kind of mentioned it in passing but, I was wondering if you could speak more specifically about what is happening there?
Joseph M. Leone : A couple of things - first the higher charge offs in the quarter relating to certain international accounts. A higher non-performing and delinquency trend, particularly in the delinquency trends are related to the integration of the transfer of the servicing platforms on the acquisition from where they were based in Texas to our Florida based collection platform in Jacksonville. While the delinquencies are significantly higher when you look at the numbers, we think that we’ll recapture some of that delinquency through collection effectiveness and generally those receivables have slightly lower loss content and overall commercial lending because of the important use or essential use nature of the equipment. So, a lot of it in our vernacular is what we call administrative and we have got to prove that to us and to you as the first quarter progresses.
David Hochstim – Bear Stearns: So you haven’t seen some underlying deterioration in the business that you have been servicing your own business.
Joseph M. Leone : No David, no.
David Hochstim – Bear Stearns: Okay and then just on the sale of the aircrafts that you plan is there a prospect of a gain at all or is it just freeing up capital.
Jeffrey M. Peek : I think there’s a prospect of a gain also but we also think it’s quite a good time to take some chips off the table in aircraft. As you know, those assets have appreciated quite significantly over the past 24, 36 months and we have quite a good order book going forward and we just think this is a good time to really prune the fleet a little bit with the sale of some older aircrafts.
David Hochstim – Bear Stearns: Would that sale have any effect on the tax rate or those mainly US assets?
Jeffrey M. Peek : They generally would not, what we have targeted our assets outside the structure.
Operator: Your next question comes from the line of Ken Posner from Morgan Stanley. Please proceed.
Ken Posner – Morgan Stanley: I wanted to ask a little bit about the aircraft business, as one of your strongest businesses right now, and I wondered if you could give a little bit more color on the transaction, where if I heard it right it sounded like you bought 12 planes and immediately leased them out. I wondered if you could also give a little bit more color about your plans to arrange securitization financing for the aircraft fleet?
Jeffrey M. Peek : Sure. Let me handle the first part of that and then I will ask Joe to handle the proposed securitization. I think it was actually 15 Boeing 737s that we bought from a major European operator and we were able to immediately re-lease them to new operators. So, certainly particularly outside the US that market continues to be quite strong and, as I said in my comments, our new order book of deliveries are committed into the first quarter of 2010 so for us that is unprecedented in terms of having two years of deliveries already committed for in terms of specific leases and operators.
Joseph M. Leone :
Operator: Your next question comes from the line of Bruce Harting from Lehman Brothers. Please proceed.
Bruce W. Harting – Lehman Brothers: Joe, can you remind me the accounting on the home equity, I mean understanding, you’ve got a large non-performing number but the balance is performing. What kind of margins are we seeing there? And, what is the accounting behind that that’s preventing you from showing any higher revenue? And, you mentioned the severity rate was flat, maybe you can speak a little more about that in terms of the performing part of that portfolio as well.
Joseph M. Leone : I will try to answer all of that Bruce. We’re disappointed in the fact that we are not showing a lot of margin out of the portfolio. But, as I said earlier we put almost $6 billion of currently done very expensive financing against the portfolio. The securitization which was a critical deal for us to do, the Freddie Mac full securitization of $5 million, actually there were two fulls one Freddie and one other and then secondly, the mandatory convertible which had 7 ¾ coupon. So, we did burden that P&L with those financings because we thought that was the appropriate thing to do and that is where the liabilities belonged. So, the assets were originated in different interest rate environments so that squeezed a lot of the margin out of the business; that’s one. And so, the accounting just to talk about the accounting on the assets held-for-investment what we get is the coupon off the receivables. Clearly, we are having a higher level of non-accruals than we would like or that we estimated that hurting as well and so we get the coupon off of the payment on the receivables and then we have this new higher cost finance debt that we burden the business with. Clearly, it had lower cost financed debt and we in effect transferred that back into the commercial franchise. If you look at the margins overall, I don’t think I said this in my prepared remarks, the margin overall is down some 25 or 30 basis points but, if you look at the commercial finance business it’s much flatter, it’s only down about 5 to 10 basis points because of how we did the cost of funds accounting. So, hopefully I have answered your question Bruce. If you have a follow up let me know.
Operator: Your next question comes from the line of Chris Brendler with Stifel Nicolaus. Please proceed.
Christopher Brendler – Stifel Nicolaus & Company, Inc.: I will start with funding. Joe, you mentioned a new billion dollar facility in the fourth quarter. What asset class is that? And, sis that something relatively new late in the quarter?
Joseph M. Leone : Yes. We did a couple of new financing on the commercial lending side with a secured financing in our commercial lending portfolio, middle market portfolio where we have not done much secured financing other than the CLO we did earlier in 07. So that is principally where it was. We also put in place, we did not draw on it, we also put in place approximately a half a billion dollar facility against some of the home lending assets. So, those were the two new facilities we put in place in Q4 Chris.
Christopher Brendler – Stifel Nicolaus & Company, Inc.: And that was late in the quarter like December?
Joseph M. Leone : Yes.
Christopher Brendler – Stifel Nicolaus & Company, Inc.: And pricing? Can you disclose what the pricing was? Or, just roughly was it egregious or is it decent.
Joseph M. Leone : No it’s attractive. I would say it’s not LIBOR plus 40 area but, it’s less than LIBOR plus 100 or so. So, I will give you that.
Christopher Brendler – Stifel Nicolaus & Company, Inc.: I am actually a little bit surprised because last time I was up there you were expressing some concerns about the ability to get these kind of deals done, and it sounds like you’ve made even more progress after the turn of the year with the $3 billion in facilities. How close are you on those facilities?
Joseph M. Leone : We’ve done a significant amount of work. We are pretty far along on the rail securitization for example. We have a lot of the ground work done on the aircraft for example. Now I recall our conversation, what I was saying is that the banks were very tight particularly looking at their year end balance sheet. I’ve got to say the team did a terrific job. These transactions took a lot of twists and turns to end up in the structure they did but that’s why we were quite pleased in how we ended the year end in terms of liquidity, getting these facilities in place and then getting a lot of cash as you see on the balance sheet. But there was a little bit of an update and a lot of work done in the last couple of weeks of December if I have my dates right. That seems like a year ago Chris, I apologize.
Christopher Brendler – Stifel Nicolaus & Company, Inc.: That’s okay. So, I guess on a related front we also talked at that meeting about how you would like to grow more. This is a great time to put money to work. You are seeing spreads that you have not seen on new business in a long time. However, you got the funding issues to deal with. Your forecast for flat growth in the first half of the year is that including the aircraft sale? Just give us some color about how you feel about your ability to take advantage of the spreads out there giving your current funding situations. Are, you going to be pulling back more from new business volume perspective or is it going to be kind of a slow growth from here?
Jeffrey M. Peek : I think you covered a number of factors in your question, I think I could say yes. I think what we’re trying to do Chris, in all seriousness, is really prioritize where the funding is going, make sure that it is going to the highest returning assets, make sure that it’s going to the long standing relationships, try to really minimize just discretionary asset purchases. For example, we’ve really minimized the acquisition of participations that don’t go through our centralized participation desk. We’ve changed the compensation system so people really don’t get paid just for participating in other people’s deals, to a large degree. I think that our budget which is kind of - we are reviewing quarterly now just because there are so many variables in it but, I would say it probably provides for a billion or two of total growth but within that would be some pay down in the mortgage portfolio also. So, when we say assets are going to be up a billion or two new business would probably be somewhat more that that contingent on the rate of pay downs or any other asset reductions in the consumer portfolios.
Christopher Brendler – Stifel Nicolaus & Company, Inc.: Final question and I will get back in queue. On the credit side just excluding home equity, excluding student or even the small consumer book outside of student. Commercial [inaudible], it sounds like you feel okay. You mentioned you’re not expecting a recession this year. That certainly has been the big over-hang over the last couple of weeks in particular that we already may be in one. Just help me think about what you’re seeing at the ground level in some of your businesses? I think certainly rail and trade finance tend to be leading indicators. What are you seeing and how do you feel? Just give me a little color on the trends in the quarter. Vendor in particular looks like it had a pretty big up tick in [inaudible]. 
Jeffrey M. Peek : One, I don’t want to get into a definitional - I don’t want the actual information to be massed by a definitional discussion on what’s a recession or what’s not a recession. We’re seeing slow growth, ex the consumer businesses, I think we’re targeting charge offs someplace around 60 basis points, 70 basis points for the year and a little bit of a replay of a gradual increase just the way we’ve had a decrease from 175 basis points in charge off in 2003 to 40 or 42 in 2007. I’d say the place where we’re seeing a little bit of an unwind of the credit fabric would be in corporate finance, in a leverage loan area, where there are selected deals that margins are thinner, coverage is worse. And, a trade finance, where you got some of the retailers that obviously are struggling but, I’d say the history in trade finance of that team anticipating problems with the retailers has been excellent. We see an up tick in credit cost but not a collapse.
Operator: Your next question comes from the line of Eric Wasserstrom from UBS. Please proceed.
Eric Wasserstrom – UBS : Joe, I’m trying to reconcile the guidance of about the asset growth with all the different pieces going on. There’s the $1.3 billion of aircraft assets that are coming on, and I guess that’s partially offset by a run rate of depreciation. Then I guess there’s some home equity running off. What would you actually suspect that the core commercial businesses - what do you think the growth rate of those assets will be?
Joseph M. Leone : Eric, you’re talking about over the year?
Eric Wasserstrom – UBS : Yes.
Joseph M. Leone :  Just in terms of round numbers and we’d have to see how the second half of the year looks from a liquidity perspective but, let me give you a couple of thoughts. First, in Aerospace we have $1.3 million in delivers over the full year. So, as we talked about, we think that we’ll be able to finance those essentially through sales, and then on top of that we have the other financing I spoke about. The mortgage portfolio, the amount of cash we’re getting has decreased significantly but, let’s say its $400 million a quarter. And, the other opportunity for growth that we see that doesn’t really use our balance sheet financing, per say, is growing assets in the bank and we expect to put several billions of dollars into the bank over the year. The other thing is that we continue to look for an improvement in syndicating and originating syndicated loans. I think when you put it together, and you look at the full year I think, excluding home lending, around the 5% growth rate point- to-point is what we have in our thinking, but obviously there is a long way from the top of the mouth from January to December.
Eric Wasserstrom – UBS : Just very quickly on the student lending business, can you tell us approximately how much of your portfolio is consolidated [inaudible] versus unconsolidated versus private?
Joseph M. Leone : The private percentage is around 6% or so, and the consolidated I will have to get back to you on the consolidated I don’t have it on the top of my mind but we’ll probably have it during the call, if not we’ll get back to you directly.
Eric Wasserstrom – UBS : Thanks very much.
Joseph M. Leone : I did miss a piece of Bruce Harding’s question, as I think about it, it was on severity. And, severity was flat and Bruce asked me a qualitative question. I can’t give you a good answer as to why it’s flat we’re happy it didn’t get worse. As we looked at our charge offs in the quarter a lot of them related to second lien positions, it’s a disproportionate amount, and disproportionate related to 2006 vintages but, we were quite happy with it being flat. As I said in my prepared remarks, that’s not necessarily something we are counting on continuing, but we’ll take it if it does. Sorry Bruce I missed that and I don’t have a specific answer for you, but that’s just how I’m feeling about it.
Operator: Your next question comes from the line of Matt Burnell from Wachovia. Please proceed.
Mathew H. Burnell – Wachovia Securities : Just a quick question on capital, obviously you’re stated capital ratios are up fairly dramatically over the last quarter. Joe, you mentioned that you’re planning on further increasing those capital ratios over the course of 2008. I wonder if you can give a little more color about that? And, a related question is, equity like securities now comprise a larger portion of that ratio than they did a couple of years ago. Have you gotten any commentary from the rating agencies if you’re caped out on that?
Joseph M. Leone : I don’t remember saying that we anticipated improving the capital ratios but I should have said it, so thanks Matt for bring it up. And how the numbers work, we’re holding asset growth relatively thin. We announced our dividend payout, at least for the first quarter of the year, and based upon what we’re talking about and when you put it all together on returns and earnings. We are looking at improving the ratio above where it is. On the non-common component of our equity I would say for some of the agencies we have room and then, in some of the agencies we don’t have room. The way we think it, at least in terms of 2008, we do not have it specifically on our mind, if we have a capital raise using the hybrid market. I would say Moody’s in particular has a ceiling the we’re bumping up against so that would be a governor on using that mark. Hopefully that’s responsive.
Operator: Your next question comes from the line of Sameer Gokhale from KBW. Please proceed.
Sameer Gokhale – Keefe, Bruyette & Woods: As far as your thought process, looking at the next twelve months, I think you said you’re not assuming a recessionary environment and I was wondering why you go through your planning sessions, why it wouldn’t be safer for you to assume and plan for a recession? Obviously, if one doesn’t materialize there would be more upside. I just wanted to get our thinking on how much flexibility you have in the business if we in fact do get into a recession, by some accounts we already may be in one. Just want to get your thoughts on that?
Jeffrey M. Peek : I didn’t articulate what I was trying to say quite as well, I didn’t want to get into the discussion of what’s a recession and what’s not a recession. I think our assumptions Sameer, were maybe 1% GDP growth, rates coming down, credit costs going up. Whether it goes over the line into recession or not it certainly was a much weaker and defensive outlook for 2008 than we’ve had in the past couple years where we’ve basically been building in quite a bit of asset growth and quite a bit of liquidity. We’ll be reviewing our plan with the board every quarter because there are number of variables, and certainly you hit the target on one of the big ones, which is what the economic outlook’s going to be? To the extent that we haven’t been severe enough in our assumptions we would obviously start to ratchet credit down tighter, asset growth I think would be less. We do have a series of businesses that are somewhat counter cyclical in terms of our restructuring business, dip finance, you can look at our factoring commission, some ways as premium on risk insurance, to the extent that retail outlook got much worse, I think you would see a significant increase in the factoring commission rate. You go back to 2002 with surcharges on K-Mart and the like and factoring commissions were about 75 basis points, today they’re about 50. So, there is quite a bit of an upside potential on that, as the economy got worse we could clearly try and take a more draconian approach to our business. The fact that we’ve got a third of our commercial risk outside of the dispersion, and once again, our core commercial finance business are somewhat diversified across equipment types and credit exposures.
Sameer Gokhale – Keefe, Bruyette & Woods: One of the other things I was wondering on a different note would be aircraft portfolio and the sale. I just want to clarify, I think at one point in time when you were contemplating the IPO the talk was that you were considering perhaps putting $1.2 billion or so planes into that structure. Now that the IPO seems to be off the table would it be safe to assume that you’re contemplating just a whole loan sale of aircraft assets of $1.2 billion and unlocking say $200 million or so plus of equity in that business? I got a little bit confused about the discussion of the secured financing which I think was on new placement versus the sale of older planes through kind of old aircraft sales.
Jeffrey M. Peek : I think you have it right in terms of – we got left on the runway in terms of our IPO. So, we’ve gone back to a more traditional sale of the assets. I think you have that right and we’ll be accelerating those time wise so that we don’t get left this year. So, we’re already underway in terms of taking bids on a pool of about 25 to 30 aircrafts.
Jeffrey M. Peek : If I confused you on the financing side of that, you had had it right on the financing side as well. One of the financing ideas that we have the most thinking on right now in the aircraft portfolio is financing the new deliveries this year in an international structure. That would be what I was talking about in terms of financing outside of what Jeff described on the sales.
Operator: Your next question comes from the line of Howard Shapiro from Fox-Pitt. Please proceed.
Howard Shapiro – Foxx-Pitt, Kelton: Just two quick questions if I could. The first is I just wanted to make sure that you had no exposure to the financial guarantee ratings. And then the second question is, if you could just help us quantify maybe over 2008 the headwinds that you see from the discontinuation of the Dell relationship.
Jeffrey M. Peek : Since Joe sat on the board of the Dell joint venture I’ll leave the second one to him. To our knowledge we don’t have any exposure to the financial guarantee sector, Howard.
Howard Shapiro – Foxx-Pitt, Kelton: And on Dell?
Joseph M. Leone : A tough one Howard in terms of disclosure but, if we look at the more recent run rate I’ll say the earnings contribution on a quarterly basis these last few quarters have been between $9 and $14 million from the equity pick up. That’s the way I’ll leave it.
Jeffrey M. Peek : Howard, I might add that we also don’t have any exposure to CIT sponsored FIBs or CDOs.
Operator: Your next question comes from the line of Mike Taiano from Sandler O’Neill & Partners. Please proceed.
Michael Taiano – Sandler O’Neill & Partners: To what extend have you guys utilized rate freezes on the mortgages in your home lending business that have reset? Or, to what extent do you expect to employ that going forward? And, did that have any impact on the earnings in the fourth quarter in the home lending book?
Jeffrey M. Peek : When you say rate freezes, Mike you’re talking about modifications?
Michael Taiano – Sandler O’Neill & Partners: Yeah.
Jeffrey M. Peek : To defer increases?
Michael Taiano – Sandler O’Neill & Partners: Yeah. So, instead of increasing you just keep the rate where it is.
Jeffrey M. Peek : I would say in the second half of the year we got the program up and running and I’m thinking that in December about 16% of the rate increases were modified. Joe and I and others next week are suppose to review a broad scale program for rate modification. So, we thought on a manual basis it takes a long time. What we’re reviewing would be something that would be much broader and probably Internet orientated where we could get to a much broader swath of our mortgage holders. I think that will be a big part of our plan going forward in terms of how to optimize returns out of the portfolio. So, I think we’ll adopt that broadly. So, hopefully that’s helpful.
Michael Taiano – Sandler O’Neill & Partners: I guess you’re assuming something for it in your outlook for next year then, right?
Jeffrey M. Peek : Yeah, we are.
Michael Taiano – Sandler O’Neill & Partners: Then, a separate question, just a follow up on capital. You guys are above your 8.5% target and I presume that the gain from the sale of the planes will help and the slower growth will help but, given the uncertainty in the market right now how do you guys feel about doing an additional equity raise at some point? Are you open to do that? Would you presumably do it sooner rather than later? Just any thoughts you have on that will be helpful.
Jeffrey M. Peek : Just one thing on the sale of the planes; this isn’t so much driven by a need for gains. In other words we could put together a much prettier pool of airplanes than we’re currently marketing. This was I would say as much risk management as anything else. In terms of capital, I think you put it correctly in that right now we don’t feel like we’ve got a hole that we have to fill on the balance sheet. But, it’s obviously a difficult market, it’s an evolving market. I think the way we’re looking at this is if more capital would provide demonstrable benefits to our funding costs, and we could find that in one package, it would certainly be something we’d have to look at. Right now we’re quite intent on just optimizing the cost of funding so we can do the best job on profitability. So, if an opportunity were to present itself in which boosting our capital position led directly to increased funding flexibility, I’d think we’d certainly consider that.
Joseph M. Leone : Operator before you get on, there was a question earlier that we wanted to come back to you with an answer on, is the break down of our student lending book. It is $9 billion consolidation and a couple of billion dollars of school channeled loans in addition to the 5 or 6% I said was private.
Jeffrey M. Peek : I think we’d like to draw the Q&A to a close here. Thank you all for your interest. Just a couple of closing comments. I think as you have seen from Joe and my comment, we are focusing on our core commercial finance franchise. We’re doing our best to put the home lending business behind us so we can refocus on these four core businesses. Obviously, we’re going to have to be nimble. In 2008 our business plan is contingent on certain assumptions and we’ll just have to see if those play out in terms of the economy. We do think the last two quarters despite our disappointment with the performance in the home lending portfolio have kind of demonstrated the resiliency and flexibility of the franchise. In some ways that exemplifies why we’re going to celebrate our 100th anniversary in February this year. I want to thank employees and particularly you on the phone, your investors, for your support of CIT. Thanks very much.
Operator: Thank you for your participation in today’s call. This concludes the presentation and you may now disconnect.